Operator: Good day, ladies and gentlemen, and welcome to the QuickLogic Corporation third quarter 2010 earnings call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) As a reminder, today’s call is being recorded. At this time, I would now like to turn the conference over to your host, Chairman and CEO, Mr. Thomas Hart. Sir, you may begin.
Thomas Hart: Good afternoon, ladies and gentlemen, and thank you for joining us today for QuickLogic’s third quarter 2010 earnings conference call. Joining me here today is our President, Andy Pease, and our CFO, Ralph Marimon. Ralph will take you through our third quarter results, and then I’ll share my perspective on our business. Following this, Ralph will detail our guidance for the fourth quarter of 2010, and then we’ll take your questions. Ralph?
Ralph Marimon: Thank you, Tom. I’ll take a moment to read our Safe Harbor statement. During this call, we will make statements that are forward-looking. These forward-looking statements involve risks and uncertainties, including but not limited to stated expectations relating to revenue growth from our new products, statements pertaining to our design activity and our ability to convert new design opportunities into customer activity, market acceptance of our customer’s products, our expected results and our financial expectations for revenue, gross margin, operating expenses, profitability and cash. QuickLogic’s future results could differ materially from the results described in these forward-looking statements. We refer you to the risk factors listed in our Annual Report on Form 10-K, quarterly reports on Form 10-Q and prior press releases for a description of these and other risk factors. QuickLogic assumes no obligation to update any such forward-looking statements. For your information, this conference call is open to all and is being webcast live. For the third quarter of 2010, total revenue was 7.3 million. This represents a sequential increase of 13% and was within our guidance range. New product revenue grew to 2.8 million, representing a 20% sequential increase. Legacy product revenue totaled 4.6 million, which was a 9% sequential increase. Both product lines were within our guidance range. Our non-GAAP gross profit margin for Q3 was 64.5%, and was above our guidance due to the mix of product shipped. Non-GAAP operating expenses for Q3 totaled 3.8 million, which was at the low-end of our guidance. These lower expenses, combined with higher than planned gross margin produced a non-GAAP operating profit of 921,000. Non-GAAP operating expenses increased compared to Q2, primarily due to an increase in third-party engineering expenses and a modest increase in SG&A. On a non-GAAP basis, tax and other expenses totaled approximately 4,000. This resulted in a non-GAAP net profit of 917,000 or $0.02 per diluted share, compared with a net profit of 418,000 or $0.01 per diluted share in the second quarter of 2010. Our ending cash position of 19.2 million reflects an increase of approximately 1.3 million from the Q2 ending balance. This increase was driven by our higher than expected gross margin, lower than expected operating expenses and the exercise of warrants from our November 2009 Registered Direct offering. Why investors from our November offering exercised (inaudible) provided cash to the company of approximately 556,000. Our Q3 GAAP net profit was 550,000 or $0.01 per diluted share. Our GAAP results include stock-based compensation charges of 568,000, which was partially offset by a one-time tax benefit of 209,000 related to our investment in TowerJazz shares. Because of our GAAP profit, shares outstanding are now calculated on a fully diluted basis. Weighted average fully diluted shares outstanding at the end of Q3 totaled 38.7 million shares. Please see today’s press release for a detailed reconciliation of our GAAP to non-GAAP results. I’ll rejoin you in a few minutes to discuss our guidance for the fourth quarter, but first Tom will update you on the status of our strategic efforts. Tom?
Thomas Hart: Yeah. Thanks, Ralph. Well, by every measure, it’s been a year of tremendous progress here at QuickLogic. Q3 2010 total revenue was up 13% sequentially and 120% year-over-year. With this growth, we’ve returned to GAAP profitability, positive cash flow and exited the quarter with 19.2 million in cash. In addition to these tangible accomplishments, we’ve made significant strategic progress with our customer-specific standard products or CSSPs that we believe will fuel our growth and profitability during the coming year. I’ll cover this progress in a few minutes, but first, let’s take time to evaluate our near term industry events are impacting QuickLogic. As you’ve undoubtedly heard from many semiconductor companies that have already reported calendar Q3 results, short-term visibility has been reduced and in many cases, there is some degree if inventory rebalancing expected to occur during Q4. Because we’ve been able to maintain short and dependable lead times for our legacy products throughout 2010, we’re not anticipating any material impact from inventory rebalancing. Even though Q4 is normally a seasonally soft quarter for the industry sectors we serve with our legacy products, we expect sales for these products to be flat to Q3. We’re also forecasting flat new product revenue in Q4. This forecast is being driven by new designs moving into production and partially offset inventory rebalancing within these supply channels supporting our ongoing business. We expect to resume new product revenue growth in Q1, 2011. The broadband wireless data card market remains our largest market sector for our new product sales. We’ve seen a number of developments within the data card market during the last three months that I’d now like to comment on. Some of our largest data card customers have advised us they are now only getting two to three week order coverage from their customers namely the wireless service providers. In addition to reducing our visibility, this also makes us more susceptible to schedule changes that may push or pull shipments between quarters. Due to reduced demand visibility and shorter component lead times, there is a concerted effort by the channel to lower aggregate inventory levels. While the broadband wireless data card market appears as though, it will be a little bumpy in the near-term, we’re very happy with the strategic progress we made during the quarter and optimistic about how it positions us for the longer-term. With our ecosystem partner Icera, we have won a number of high-profile designs that support enhanced connectivity and performance. These designs provide users with download speeds ranging from 7.2 to 21 megabits per second, including an SCIO interface and in some cases facilitate very high-speed USB side loading. This covers the leading edge of the current speed ranges offered by wireless service providers worldwide placing us in a high value position. In addition to our ongoing data card engagements, we won a new design that uses a big expand ship supplied by Icera’s primary competitor. Our CSSP was chosen for its flexibility and connectivity features and its security functions that are core to the product’s value proposition. This move up the value chain is an extremely important part of our CSSP strategy. There are two emerging trends in the broadband wireless data card market that are providing us with opportunities to move up the value chain. The first trend is the move to higher data rates, 7.2 to 21 megabits per second and the emergence of 4G. Since it will take some time for 4G coverage to rollout, data cards supporting 4G must also support 3G standards. Multi video data cards provide several strategic applications with high relative value for CSSPs. The second trend is a growing demand for security and wireless mobile devices. This includes in part data protection, secure access and strongest allocation, and secure access and strongest allocation. Strongest allocation requires multiple security factors and goes well beyond simple password protection. Today, we shipped CSSPs that implement solutions for secure access and strong authentication. We believe the fast time to market benefit of the CSSP model is well suited to address in a rapidly changing dynamics of this highly fragmented market. As presented in previous conference calls, we’ve won multiple designs and gain significant experience to our close partnership with a leader in the business and banking markets for secure access and stronger authentication, communication and storage devices. We leverage this experience in the architecture and design of our newest CSSP platform family ArcticLink CX. Launched in October, this new family supports a wide variety of industry standard and customer specific multi-factor security designs. It also provides our customers with a significantly higher level of design flexibility that is useful in a multitude of applications beyond security. Our tickling to CX is the first CSSP platform family that integrates an embedded 32 bit risk microprocessor and features interfaces that facilitate, very low power chip-to-chip communications. This platform family enables content and data protection, as well as extremely fast USB side loading. ArcticLink II CX opens new markets for QuickLogic. Its future set including the microprocessor and programmable fabric significantly broadens the flexibility and the value we can deliverer to our customer. This family positions QuickLogic as the leading edge of the emerging market for mobile devices, mobile device coprocessors or that are now being called offload engines. External coprocessors are not new to the computing markets. However, mobile system architects have recently determined they are on attractive way to address the many new demands consumer are placing on mobile devices. Lindley (inaudible), the principal analyst at the Lindley Group sums up his view of this emerging offload processor trend as follows. The number of CPUs in our mobile device continues to grow. Host CPU’s in high-end smartphones and tablets control multiple radios, memories and I/O devices. We still have enough processing power remaining to handle HD quality video, 3-D gaming and other performance hungry applications. These requirements drive mobile processor vendor’s to include several CPU cores within their designs. QuickLogic’s ArcticLink II CX family provides a customizable solution that enables OEMs to rearchitect their systems to address these needs. Needless to say, we agree with Lindley and based on the initial comments we’ve received from our customers, they do too. We’ll circle back to computing and communications market in a minute, but first let’s touch briefly on the security and mobile enterprises markets. Our partner in the secure access and strong authentication market has experienced ongoing issues with server implementations that have continued to hamper the rollout of their mobile products that contain our CSSPs. However, good progress was made during the quarter and we expect to see the rollout built traction during Q4. This is a very exciting market, where QuickLogic offers a strong value proposition that we believe will lead to a similar position in emerging machine-to-machine market. Preliminary estimate our orders becoming called the Internet of things, Internet 3.0 is that we can see 16 billion with a big active things by 2020. It’s already started. As I can now use my smartphone to lock and unlock my car and even pinpoint it on a map if I forgotten where I parked it, all over the Internet. Always on – always connected applications to demand low-power and that’s one of our proven strengths. While our design cycles in mobile enterprise applications tend to be a longer than we see in other strategic markets, production volume increases have tended to be more linear and we believe product life cycles will be longer. We’re very pleased to announce that we’ll ship over $1 million in CSSPs this year to our leading customer in the mobile enterprise market segment. And we are enjoying continued design activity with this customer and a growing number of other customers. Consistent with our prior forecast, we believe we’ll ship our first production revenue for our Visual Enhancement Engine or VEE and Display Power Optimizer or DPO during Q4. While the android operating system currently supports smart phones, the increased screen size and resolution of tablets requires an optimized release. This has delayed the Q4 introduction of many arm-based tablets, while the OEMs and ODMs await this release from Google. We expect additional VEE or DPO designs to ramp during the first half of 2011. The old saying “timing is everything” will certainly apply here. After roughly two years of persistence, the appreciation for a VEE/DPO is growing rapidly. As you may recall, I announced last quarter that one of our tier-one ecosystem partners entered an order for 3,000 VEE enabled CSSPs. Shipments to support this order were initiated in Q3 and the customers since increased the total order quantity to 4,000 units. This smartphone reference design is being sold to application developers. During Q3, we received another 4000-piece order for a second smart phone factor reference design. This design is being targeted for OEMs and ODMs, and should generate significant leverage for QuickLogic across multiple customers. In addition to these two smartphone impact to reference designs, we’re engaged in multiple design with multiple partners across tablet and smart book form factors. We expect VEE/DPO-enabled CSSPs to be included in these reference designs in the coming quarters. There is no doubt that 2010 has been a tremendous progress year for us here at QuickLogic. As we look at Q4, we expect to exist the year shipping CSSPs to 11 unique customers to support 19 unique designs and four of our strategic market sectors, which are broadband wireless data cards, secure access, and strong authentication data cards, mobile enterprise and tablets. We continue to see solid evidence that our targeted partners and customers are embracing the benefits of our CSSP strategy and we are positioning our new platforms to increase the CSSP value proposition. I believe the convergence of these two trends positions us very well to deliver long-term growth and profitability. Back to you, Ralph.
Ralph Marimon: Thanks, Tom. As Tom has discussed, due to limited visibility and what we believe will be a brief period of inventory rebalancing in the supply channels where our new products are sold, we are estimating that the fourth quarter of 2010 total revenue will be flat with the Q3 level of 7.3 million plus or minus 10%. New product revenue is forecasted at 2.8 million, while the forecast for legacy products is 4.6 million. We expect to resume sequential new product revenue growth in Q1, 2011. As in prior quarters our actual results may vary significantly due to schedule variations from our customers which are beyond our control. Schedule changes, particularly those that may impact new product revenue could push or pull shipments between Q4 and Q1 and change our actual results significantly. On a non-GAAP basis, we expect growth margin to be approximately 64% plus or minus 3% in the fourth quarter. The gross margin percentage is driven primarily by the anticipated mix of products shipped during the quarter. We are currently forecasting non-GAAP Q4 operating expenses to increase to approximately 4.1 million plus or minus 300,000. While we are forecasting flat SG&A expenses, we are anticipated an increase in R&D expenses driven by development work on two new CSSP platform families and new hires that are forecasted for our R&D department. Given these changes, non-GAAP R&D expenses are forecasted to increase to approximately 2 million, while non-GAAP SG&A expenses are forecasted to be approximately 2.1 million during – one million during the fourth quarter. Our other income and expense will be a charge up to 60,000 during the fourth quarter. Our stock-based compensation expense during the fourth quarter is expected to be at approximately 525,000. At the midpoints of our guidance, non-GAAP net income is expected to be approximately $0.01 per diluted share and on a GAAP bases, we expect to be approximately breakeven. We expect the quarter to be cash neutral. I will turn the call back to Tom for his closing comments.
Thomas Hart: Thanks, Ralph. Well, we’re excited and pleased that our targeted customers are embracing our CSSP strategy for their new and differentiated products, customers view CSSP as a way to add flexibility to their designs, broaden market penetration and accelerate their time to market. Now with VTBO [ph] rapidly building traction and broad customer interest in our new ArcticLink II CX family, there is clear evidence that customers see QuickLogic as a valuable partner providing innovative solutions. With CX we believe we are in the right place at the right time and think we have a one of the most powerful and flexible solutions available in the rapidly emerging need for offload engine capability. Our vision is to enable mobile market leaders to produce exciting new products resulting in strong profitable growth for QuickLogic. We hope you will join us in this most exciting adventure we call customer specific standard products. Finally, as a retired naval officer, I’d like to offer the highest honor of a 21-gun salute to our fine team of professionals here at QuickLogic. CSSP is definitely a team sport and I think we’re getting better playing it every day. We will have a private meeting room by the way on the show floor at CES, January 6, 2011[ph] in Las Vegas. And then we’ll be presenting the following week at the Needham Growth Conference in New York. We hope you can join us at one of these venues. Our fourth quarter and our fiscal year in 2010 earnings conference call is scheduled for Tuesday, February 8, 2011. Okay, now let’s open up the call for questions and answers. Joe, please.
Question-and-Answer Section:
Operator: Thank you, sir. (Operator Instructions) Our first question comes from Edwin Mok with Needham & Company.
Edwin Mok – Needham & Company: Okay. Thank you. A question. So first question is just on some financials. It looks like gross margin expense sequentially even though your legacy mix has declined sequentially, because your new par revenue grew more than your top line. Can you help me reconciliate that? Is it because of particularly end market that your legacy part is run through or why is that expanding so much?
Ralph Marimon: Yeah. I think it’s the mix Edwin. Both product lines increased that really it’s the mix of products that are shipped during the quarter, total shipped a little bit, but the increase is really based on the strength of legacy, and I think that’s it.
Edwin Mok – Needham & Company: And then just you talked about, the new product going to market that almost are playing 50% of our gross margin. Now that you have several quarter of ongoing and better visibility, do this -- data live telecast market, would you say that your margin and at least put that market for new product, could actually do better than that 60% range?
Thomas Hart: Not really, but we don’t break out our gross margin by market sector, Edwin. I can just tell you that we still believe that CSSP’s together will generate 50% gross margin that doesn’t mean that every product is actually 50 as you well know. Some will be lower than that, some will be above that.
Edwin Mok – Needham & Company: Sure. Okay, I understand that. And then one question just on the share count, the 38.7 million share. Does that fully reflective or they factor (inaudible)
Ralph Marimon: Yeah, that’s a weighted average, so – but it is our fully diluted and takes into count current options and warrants.
Edwin Mok – Needham & Company: I see. Great, thanks. And then just on the new product front. Tom can help me so your guidance for – you guys are guiding flattish sequentially, but it looks like you have some new business on both this first production shipment and as well as lower end price market. Does it because the t inventory reduction and the data market is larger, and therefore even with this new shipment, you still gotten this flat or because more of the lack of the visibility that you want to go a little bit concerned about by that piece of your business.
Thomas Hart: Well, I think we’re attempting to be Conservative. We forecast it be flat is a very conservative position, we believe. As the problem is lack of visibility when our customer is only getting two weeks of order coverage, two to three weeks by the way, that’s down from last quarter, they were getting 4 to 6 weeks last quarter. So when that drops to two to three weeks, what does that do for us and gives us very, very poor visibility, noteworthy orders before they have hard orders anymore. So it’s a challenging situation. So we are being conservative.
Edwin Mok – Needham & Company: Yeah, I think that’s part of the approach. Can I just get a clarification on the production shipment that you talked about, did you say for tablet design or on smart phone, I wasn’t very clear on that?
Thomas Hart: Tablet.
Edwin Mok – Needham & Company: That was of a tablet design. Great. That was helpful. And then on the –
Thomas Hart: Actually, let me correct that. The product being shipped into reference designs for smart phones and there in the quarter, but the production shipment will be for a tablet.
Edwin Mok – Needham & Company: So historically when you start production shipment of one particular end market, usually you have gone through a number of evaluation and production evolve exercise and they have already gone to a lot of development. Typically, your product is getting penetrated in multiple end products and a customer right. Is that something that you expect for those tablet design that you start production shipment in the fourth quarter and is that the reason why you’re confident that you have, your growth will come back in the first quarter.
Thomas Hart: I’m not sure exactly what you asked. Obviously when we say we’re in production with the, we have orders that we are shipping against that are production level orders that we’re shipping against. And we expect to see our business expand on a forward volume basis. So the front end of a ramp with a relatively small number of guys, customers of this point owing to the delay, which I talked about which everybody in the tablet space was sooner, was ready, let’s backup for mix, until April when the tablet, when iPad was introduced, everybody was set to introduce smart books. And if you notice what’s happened since then, it was kind of like everybody switched over needing to do to chase tablets. And they’ve done that, but the problem then was that they were using single processor devices, apps processors and that wasn’t cutting it when you couple that in a tablet format with the fact that Android 2.2 doesn’t really address tablets. So what people have been waiting for is an updated version of Android to accommodate larger screens and better resolutions. And that wasn’t originally forecasted by Google to be supplied until Q1. These OEMs and ODMs have now done a number on Google and they brought that in, but it’s still not the 3.0 version, 3.0 is still scheduled to ship to their customers, Android 3.0 is still scheduled to ship to customers in Q1. So there is lot of moving parts there, but it sounds to us like they’ve got hardware ready and they’re waiting for Android 3.0.
Edwin Mok – Needham & Company: I see, great. So basically just design is already there, just off waiting for this offer to get ready and then you can get going. And then subsequently you talked about having multiple design wins on the capital market, right?
Thomas Hart: Right.
Edwin Mok – Needham & Company: Okay, great. And then just finally on the smartphone opportunity there, you’re relationship with your partner and I think there was a lot of excitement about that and with all these references that’s being shift to you I guess the design of the ODM, or the smartphone design company. Any way you can help us think about revenue opportunity for 2011, I think that’s far is the biggest moving part and could likely be very, very strong for you guys. And anyway you can help us kind of quantify that or think about that potential, it would be very helpful? Thank you.
Thomas Hart: Well, that we gave guidance, we learnt a lesson about annual guidance several years ago, and we just don’t do that anymore. We give quarter-to-quarter guidance. Now I can just tell you that we’re very optimistic on this space, I don’t think any of us believe that there is going to be fewer smartphones built in the future, than they have built in the past and it’s a growing market. The benefits that we are bringing are once that are needed battery life and user visibility is crucial. And so I don’t think there is any doubt out, we are moving into an expanding market. Andy, would you like to...
Andy Pease: Edwin, this is Andy Pease. Two things, so Tom talked about two reference designs. The first reference design, which we mentioned in past earning calls that we just up our shipments to 4,000 units. And Tom said that’s going to application developer, so I think it had people who developed the apps that go on to your Android from and that’s nice, but the second one that we just landed into which we will be shipping out in Q4, Q1 is really going to OEMs and ODMs and we are even more excited about that, because that is a point people that are actually going to be building the smartphones in the future. How many that will result in, we don’t know but we do know that the requirement they placed on us is been 4,000 units implying that there will be 4,000 of these form factor reference that go out in to the market.
Edwin Mok – Needham & Company: Great. That was actually very good color. And I had just one follow-up question to that, right. If some of these reference designs get adopted and the ODM or OEM decide to ramp this one. Can you say how you roughly get a gauge on the timing of when you would expect in the order from and OEM or ODM and no how would I could look at the linear actually for the 2011 let’s say right, should we expect most orders come in the second and the third quarter, (inaudible) that would be helpful? Thank you.
Andy Pease: Certainly it would at least not be earlier than the second half of the year. Our experience with data cards has taught has quite a bit on the interface between our customers and their customers. The smart phone is very similar and that the ultimate customer is a service provider who is going to sell the province to the end market. And we know that any time that radio is involved that there is a long terminal acceptance qualification period. And frankly that range is depending on who the operator is, we’ve seen that as long as 16 weeks as it is in the case of our own AT&T. We’ve never really seen any shorter than eight to 10 weeks. So that’s when the OEM or ODM has a phone that’s ready to be certified and the operators bought into it, so you kind of think of those as the timing requirements.
Edwin Mok – Needham & Company: That’s very helpful, thank you. That’s all I have.
Thomas Hart: Okay.
Operator: Our next question comes from Brian Coleman with Hawk Hill Asset Management.
Brian Coleman – Hawk Hill Asset Management: Thanks. First question following up on the second reference design. Should we be thinking about that is a kind of an offload engine to the apps process or the main apps processor and does that help kind of think about the cash rate ultimately with respect to these potential designs going forward?
Andy Pease: In the first reference design that we are talking about, that apps are articulate to be as in visual X product and the intellectual property in that device were not platform process VEE and DPO. When Tom was talking about the offload engine, that is in our new articulate to see as an communications at product and that is not what is going into these reference designs least at this moment.
Brian Coleman – Hawk Hill Asset Management: But, is the VX as the companion integrated, how integrated is it in this design that a OEM would opt out of it or should we think about it, it’s being 100% attach rate in these design?
Thomas Hart: Well, certainly 100% of the reference designs at this point. So the question is whether the ODM or OEM will include it as well. I guess it is possible for not use it but the advantages that it brings are pretty significant in terms of battery life. So and in terms of the viewing experience especially in the bright sun light. So I think the attach rate should be pretty high.
Brian Coleman – Hawk Hill Asset Management: Okay. Did the designs based on these reference designs change your model at all, do you still get orders directly from the OEM or ODM or would you – digital order come from ecosystem partner?
Thomas Hart: Directly from the OEM or ODM.
Brian Coleman – Hawk Hill Asset Management: And so your revenue model, revenue recognition doesn’t change either?
Thomas Hart: Exactly.
Brian Coleman – Hawk Hill Asset Management: Okay. On the smart book versus tablet market, you indicated in the last couple of calls that there has been a pretty large shift in design activity away from smart book and towards tablet and I’m curious we talked about smart books in the past as we’re acquiring a lot more of the CSSP connectivity and because the on process just we are lacking in lot of those necessary factions. I’m wondering if they move to tablet, does that increase, decrease certainly the same kind of the addressable market for you?
Thomas Hart: Well, our focus on tablets, where we bring notwithstanding the connectivity aspects. Our focus there is really driven by the fact and our value proposition is really driven by the fact that big screens take a lot back light power, and if we can cut, if we can save overall system power by the mid 30s percent, you take the two hour battery and or a three hour battery and made it a four hour battery. So we think that the biggest value proposition, the biggest thing we’re bring into the party for tablets is VNDPO, now that is mean that we’re not supplying other connectivity as an example, I scored to see and we may or may not be using way, which is the Wake-up & Verify oil. We may be using various side-loading acceleration techniques as well, but our big feature that we were pressing or that were selling weaving into tablets is really about reducing the backlight levels and therefore extending battery life.
Andy Pease: So let me expand this little bit. So CX is a product that is in production right now, and that will be our shortest revenue application in tablets. As we have just announced our new CX product, which we’re very excited about in our announcement we said we would have engineered samples in Q1. We have also introduced many applications solutions that can be accomplished with CX in specifically the tablet market and also the smartphone and smartbook market. So, hopefully that clarifies this.
Brian Coleman – Hawk Hill Asset Management: So we could see then designs and tablets that have both the VX chips, so you see interesting.
Andy Pease: Yeah.
Brian Coleman – Hawk Hill Asset Management: Okay. The tablets that you’re going to be that’s in production in 4Q, based on I think you said can we dramatize that that’s not an android-based tablet?
Thomas Hart: No, I don’t think you can say that. I can’t answer what it is.
Andy Pease: Actually, I can’t either.
Thomas Hart: But no you can’t assume that.
Brian Coleman – Hawk Hill Asset Management: Okay, all right.
Thomas Hart: In terms of there are tablets, there are android-based tablets that are introduced today in the market. If you look at Samsung introduced a tablet that is android-based, but that’s one of the reasons nobody else wanted to, because it comes up lacking compared to the iPad.
Brian Coleman – Hawk Hill Asset Management: All right. Okay. Another question for you on this smartphone market. As we hear about MIPS architecture starting to find its way into smartphones and the handset market is there any kind of increased opportunity for CSSPs there or better way of thinking it?
Thomas Hart: In what sense are you asking, I don’t know, I’m not sure what the question is?
Brian Coleman – Hawk Hill Asset Management: Well, I mean the on course are pretty established in handsets…
Thomas Hart: That’s fair.
Brian Coleman – Hawk Hill Asset Management: And as your MIPS moves in I didn’t know there if there’s anything lacking in terms of features or functionality that could be bridged with CSSPs?
Thomas Hart: That’s certainly possible, but we are not betting on that, I mean we were certainly capable of doing that. That’s one of the advantages of having programmable fabric, but that’s not something we are betting on the big time. Actually I think it’ll, we have to be fans of MIPS as you probably know, because we did the two chips using these microprocessors. But you know that RM dominates the smartphone market. And the question, when you get beyond the year for that tablet market is that clear who is going to be dominate that, I mean clearly Intel’s making a run of it. And obviously all the other guys android, actually they’re doing android for Intel as well. So, side clear of this process is going to be in there. So I guess what I’m trying to say is that MIPS, the CMB successful in smartphones and in all those mobile devices, but we are betting on that big time.
Brian Coleman – Hawk Hill Asset Management: Okay. And then my last question. I just want a follow up on the data card market, does the CX platform kind of change your view on your kind of the durability of CSSPs and data cards. Your design becomes more sticky or is this also there is a kind of a bridging technology until they APP’s processors integrate, some of the functionality of CX?
Thomas Hart: No, Actually I think would it does is it gets a whole lot stickier because the whole concept of offload engines is really about you could argue that eventually there will be never be a need for off load engines. Because everything will get integrated, I guess in the limit you can say that’s true, but if you just look back at history of the computing industry we’ve had basically offload engines since we had mainframes. We had processors we have communication processors. That kind of all been done in the mainframe why didn’t they do it integrated into a mainframe. Because there is functionality that you’re better off if you split off and handle just to manage that function rather than compound the software that’s running on the host processor. So I think there’s a future, as obviously that’s the reason we picked the processor, put a processor in there. That because we want to be a host processor, we learned our lesson on that one, but to be able to manage the kinds of things that you need to be able to do in a security spaces as an example it’s way beyond bridging functionality, we’re running AES and a microprocessor. So I think it makes CX is clearly a move beyond just bridging, and beyond just being a companion device to really becoming the sub system, and/or off load engine, which is what some people are calling at these days. So I don’t see this being the end at all, I see it being the front end and a beginning.
Brian Coleman – Hawk Hill Asset Management: Okay, good. And then I guess the final follow-up on that. The design you referenced, is there a competitor in this market? That was CX design?
Andy Pease: Now, that’s not a CX design. That is actually going into production in the next quarter. So it’s already been done before CX is even available. CX is a good candidate as the follow on thread design and the parties that are doing that design are very interested in doing a follow on using CX.
Brian Coleman – Hawk Hill Asset Management: Okay. All right, thanks very much, that’s all I got.
Operator: Our next question comes from Robert West [ph] with NI Technical Research [ph].
Robert West – NI Technical Research: Hello Tom, Andy, Ralph.
Ralph Marimon: Hi, Bob.
Thomas Hart: Hi, Bob.
Robert West – NI Technical Research: I want to begin with a question about your initial reference design, the 3000 unit now going to 4000 unit. Is that product now available in shipping to developers?
Ralph Marimon: Yes, as a matter of fact, we have one.
Robert West – NI Technical Research: Oh, you do, okay. Does QuickLogic have role to play with developers during this phase where they are developing applications for this platform?
Thomas Hart: Bob, no I hope not. Supporting all those guys, who are developing apps, well – I can’t imagine, helping the guy develop another foreign [ph] app.
Robert West – NI Technical Research: Well, I wasn’t thinking what makes the application developer, but the use of BPO in their app.
Andy Pease: Bob, we have written actually our own app to help in the calibration of VEE and DPO. So we have actually have our own app that helps developers, so they don’t need our constant involvement.
Robert West – NI Technical Research: Okay, I know that app.
Andy Pease: Right.
Robert West – NI Technical Research: I think I do. Okay, the next question is on this new reference design that you’ve just said. Is that for the same, the same CPU from your OEM, just a different configuration going to developers, and OEMs, ODMs I mean, that will be actually building product? Or is it a different process from your partner?
Thomas Hart: It’s a different processor.
Robert West – NI Technical Research: Okay. Okay so, I’m a little confused then. Could the first reference design also go to ODMs for development of product as far the develop of phones in their markets as well?
Andy Pease: That is not the target of our partner. The target of our partner is to actually get this reference design in the hands of a third-party. And that third-party is actually proliferating this reference design to developers. And that’s different from the second reference design, where our partner is going to directly go into OEMs and ODMs with their own channels.
Robert West – NI Technical Research: Okay. Now, I think understand that. I appreciate that. I would like to return to the CX platform.
Andy Pease: Okay.
Robert West – NI Technical Research: What’s the new CX platform, which has embedded CPU in it? Will this allow your customers to update software for instance digital rights management software? And may if it changed over (inaudible) life of the handset, will that give them some additional flexibility, functionality that they didn’t have before?
Thomas Hart: The intent is Bob that the firmware that drives that processor is firmware that we will develop. We learned once before that when you open microprocessor based product up to customers, boy now you wind up now being, you take on a whole different level of support. And you do when you supply them with the solution. So our intent is that our customers will not be writing the software for that embedded processor. We’ll be solving problems for our customers and offering them the solution rather than them crapping their own firmware.
Robert West – NI Technical Research: Very good and thank you for that.
Thomas Hart: Okay.
Robert West – NI Technical Research: Next question is kind of in the same area Tom. With this embedded CPU running different software, can it be more than to serving additional markets like the stronger authentication secure access markets or may be others?
Thomas Hart: Exactly, right on. We see this has been a very broad browsing capable device. See, think about it this way. We with our programmable fabric, we have programmable hardware and now we’re going to have programmable software and we’re going to be doing both of those for our customers. So, we’ve got another degree of freedom now that we’ve never had before. So, yes, we can do when you talk about security, just as an example, and talks about stronger communication secure access. But how about denial of service, where you get flooded by somebody who shuts down your sides of your devices with a very well constructed front end you can wind up filtering all the stuff out and not bring yourself down. And CX is capable of doing that kind of a task. And there is just one thing we can do. So obviously having software programmability and hardware programmability on the same piece of silicon is, we believe it is very valuable.
Robert West – NI Technical Research: All right. So...
Thomas Hart: And the customer we’ve talked to about it, I believe this is very valuable.
Robert West – NI Technical Research: So as investors go forward, we can probably well say over time introduction of new software for new markets and what’s that same CX platform?
Andy Pease: Bob, Let me make a clarification. When we’ve always been delivering software with our older CSSP Solutions and they’ve been into the form of drivers that actually reside on the ABS processor that we companion too. We’re trying to distinguish that software from firmware that exists inside the microprocessor, that’s inside our device. So as Tom said, this gives us another degree of freedom and actually more complexity to cross the solution that is specific for our customer.
Robert West – NI Technical Research: Okay. I think I understand. You get the firmware in my mind. Okay.
Andy Pease: Firmware is supposed to software. Firmware is a micro code that you would load on the microprocessor and it’s really important that you understand, we’re not actually selling our customers. Yeah, there is a microprocessor here and here is the operating system, that’s not the deal, it just allows us to further customize your device in a more intelligent fashion for them.
Robert West – NI Technical Research: Okay. Our next question, I wanted to – a little different, back in all October, our QuickLogic introduced a secure access for the system block for the mobile plus market could you give us some color on this applications and how it fits into that market. I know that last quarter you were shipping devices end of the point of sale market and you’ve developed customers on that market that are the shipping products. So could you give us little color on that area and how this TSP might add to that market price.
Andy Pease: So, we actually have a couple of TSPs that we ship, that go into the security market one is the AES core, which is a standard core and in our new CX product that is actually hardcoded in the let’s call it a standard cell part of our device. IN other words it’s not fabric. We have other TSPs that we have done for customers namely a secure hashing algorithm or some people call it a SHA core and that tends to be more customer specific and that actually will reside in the fabric. We’ve also started working with CPRM which is a Content Protection Rights Management for digital media, that is where actually a Japanese standard and responding from that is becoming CPXM which is something that Hollywood is looking at, which really is a subset of AES engine. So some of it will be in our hard logic namely the AEF core and some of it can be in our fabric, which enables us to customize the security algorithm that our customer desires.
Robert West – NI Technical Research: Okay. That’s all on the CX platform.
Andy Pease: Well, it’s anything that has our fabric we can put it into a fabric, right, but on the CX platform that AES core is hardcoded in the hardlogic.
Robert West – NI Technical Research: Okay.
Thomas Hart: So the whole area is part of Digital Rights Management is one that we’re very interested in. Primarily because I think everybody is pretty much proven time and time again that if you want to secure a content it can’t do with software. It is just too easily hacked, so you’ve got to figure out a way to do with hardware. And we’re very interested in that and that aspect of being able to protect people’s content.
Robert West – NI Technical Research: Okay. Given I wonder about the questions on the CX, given the availability sampling availability in Q1 ‘11, which I assume probably towards end of Q1 ‘11. How long does it take you to in spite roughly to bring the product to production readiness or productions status for customers again ordering and using?
Thomas Hart: Less time than it takes them to get ready to go to production, unfortunately we’re starting to see significant revenue out of CX, I’d be amazed if we saw significant revenue – saw anything significant before Q4 and probably until 2012.
Robert West – NI Technical Research: Okay. That sounds good. So does this remark – capability, market opportunity equal to your VX market do you think?
Thomas Hart: Actually I think in some way, it can be bigger than VX. By the way, we do have a lead customer for CX. So, Andy, corrected me, we could potentially see revenue in the second half of ‘011. But from somebody else besides them, and they should be a very significant customer in terms of revenue, but before we see that from somebody else, it’ll be well in to Q2 in my opinion.
Robert West – NI Technical Research: Okay. Well, look, very good and very encouraging and thank you for taking my call and questions.
Thomas Hart: Okay, Bob.
Operator: (Operator Instructions) I’m showing no further questions on the phones.
Thomas Hart: Okay. Well, thank you for listening and your interest in QuickLogic. We’re very pleased about returning to profitability and we hope you are as well. We look forward to seeing you in the conference call in February or talking to you in the conference call in February and thank you. Take care.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program. You may now disconnect. Everyone have a great day.